Executives: Angelo Lopresti - VP, General Counsel and Secretary Valentin Gapontsev - Chairman and CEO Tim Mammen - SVP and CFO
Analyst: Patrick Newton - Stifel Nicolaus Krish Sankar - Bank of America Merrill Lynch Joe Maxa - Dougherty & Company Avinash Kant - DA Davidson & Company Jim Ricchiuti - Needham & Company Mark Douglass - Longbow Research Steven Ramsey - Thompson Research Jiwon Lee - Sidoti & Company Mark Miller - Noble Financial Capital Market
Operator:  Good morning and welcome to IPG Photonics’ Fourth Quarter and Year End 2013 Financial Results Conference Call. Today’s call is being recorded and webcast. There will be an opportunity for questions at the end of the call. (Operator Instructions) At this time, I would like to turn the call over to Mr. Angelo Lopresti, IPG’s Vice President, General Counsel and Secretary. Please go ahead, sir.
Angelo Lopresti: Thank you and good morning, everyone. With us today is IPG Photonics’ Chairman and Chief Executive Officer, Dr. Valentin Gapontsev; and Senior Vice President and Chief Financial Officer, Tim Mammen. Statements made during the course of this conference call that discusses management’s or the Company’s intentions, expectations or predictions of the future are forward-looking statements. These forward-looking statements are subject to known and unknown risks and uncertainties that could cause the Company’s actual results to differ materially from those projected in such forward-looking statements. These risks and uncertainties include those detailed in IPG Photonics’ Form 10-K for the year ended December 31, 2012, and other reports on file with the Securities and Exchange Commission. Copies of these filings may be obtained by visiting the Investors section of IPG’s website or by contacting the Company directly. You may also find copy on the SEC’s website. Forward-looking statements made on this call are the Company’s expectations or predictions only as of today, February 14, 2014. The Company assumes no obligation to publicly release any updates or revisions to any such statements. We will post these prepared remarks on our website following the completion of the call. I’ll now turn the call over to Dr. Valentin Gapontsev.
Valentin Gapontsev: Good morning everyone. As you can see in our press release, IPG performed well in 2013. We reported revenue growth in all four quarters, and grew by 15% for the full year. At 53%, our gross margins for the year were within our target range and we grew our bottom-line by 7% even as we invested heavily in research and development, G&A and fixed assets. These results demonstrate that IPG continues to extend its competitive lead while capitalizing on the growing demand for fiber laser technology. The most impressive sales growth was for our kilowatts class fiber lasers. During 2013 we increased a production volume of such lasers by 55% up to 3 cities 200 units per year which is very exciting numbers. We are optimistic that further overall industrial output will be somewhat stronger into year ’14 than in year ’13. The optimism is based on strong order flow in ’13 and Q4 especially, and the book-to-bill ratio, which was more than one. It is based also on what we hear from our key OEM customers and market analysts. First of all, we would expect to continue to see strong growth in our traditional metal processing applications as welding, cutting, and cladding. Another fast growing market for IPG is additive manufacturing of metal parts, also called 3D printing. We believe that there are meaningful opportunities for us. IPG started to supply fiber lasers for this market many years ago, and now, when the market started booming, our sales are growing fast. Only during the last three months we received two new multimillion dollar orders from leading players in Europe and Asia. Exciting trend for us in metal processing and in increasing numbers of other applications, is that more and more manufacturers are transitioning from using lasers that have relatively low output power and a low average selling price to multiple kilowatt lasers with higher ASPs. For example, if before 3D printing manufacturers used 100 watt lasers, during last quarter we already shipped many lasers with power up to 10 kilowatt for manufacturing of large metal parts. To open new markets, we are continuously introducing products with the right features and benefits for specific applications. Just last week at Photonics West, we introduced seven new laser families, the result of our increased spending on R&D. The product lines include a new ECO family of kilowatt Ytterbium lasers with unique record above 40% electrical efficiency, first kilowatt class average power nanosecond pulse lasers, first multi-hundred watt series of CW and QCW single-mode green lasers, new generation of highly efficient, megawatt peak power picosecond near infrared lasers, high peak power green and UV picosecond lasers, as well as a new family of visible fiber lasers and first in the market, a femtosecond fiber laser pumped mid-infrared lasers. These new laser families cover more of the optical spectrum, including near and mid-infrared, visible and ultraviolet wavelengths and provide new alternatives to traditional laser users and non-laser solutions. Of course, all of these new lasers are designed with industry-leading product performance, reliability and cost of investment and ownership that IPG's fiber lasers are known for. Interest is huge in the new products, especially the UV, green CW and pulsed and ultrafast lasers. With these new lasers, we are expanding the available markets for our lasers in micro-processing applications for semiconductors, LED, solar, thin-film processing, circuit boards as well as display. Other applications that some of these new products open are stripping and cleaning of different surfaces in aerospace, shipyard, mold cleaning and repair, 3D digital cinema projection, entertainment, biomedical and many other new fields. In addition to these products, we are expanding our offering of new state-of-art optical delivery accessories to include cutting, welding, cladding heads, high power scanners, and compact beam switches for materials processing. Recently, IPG had several design wins that are worth a short mention. We won new multiple unit high power orders from another Tier One European and Japanese automakers; our QCW lasers are now an accepted solution for cutting sapphire glass in smartphones; and our pulsed green laser has been designed into an ablation tool that improves solar cell efficiency sold by a major equipment manufacturer. In year ’13 IPG has passed a critical milestone in a new field for us -- laser based processing system development and introduction on the market. Tens of advanced products for various applications were developed, qualified and introduced on the market. The total revenue exceeded $20 million. Some of these systems we have started to ship in volume. First of all, it is our family of unique Laser Seam Steppers. It is now gaining wider traction as a replacement for resistance spot welding. The Seam Stepper, a laser welding system with integrated clamping and safety enclosure, is already being used by several major auto manufacturers and integrators, but is also beginning to be adopted in the rail, agricultural and consumer appliance industries. More customers have Seam Steppers in demo worldwide than ever before, and we are optimistic as we focus more marketing efforts on this solution. Other products include laser welding stations and production cells, powder cladding machines, sheet and pipe cutters, ceramic drilling and cutting stations, and other applications. For example, we have developed and started to ship in volume powder cladding systems for turbine blade repair. The customer is one of the Tier One industry leaders in the world. The largest market for our systems we are developing successfully is Russia. In Q4 we have received and delivered already the first large order for our systems. The order value was about 7.8 million. We demonstrated our ability for fast development, manufacturing, shipment, installation and further production support of various perfect systems on customer specification. It caused a huge interest in Russian industry and opens the door for a large market. As a result, now the system backlog is the fastest growing in our portfolio. We expect above 300 to 500, growth in the year. IPG continues to grow geographically as customer demand requires. In Q4, we opened a new sales and service office in Poland, and a new applications center in Shanghai. In Poland, we see order activity picking up for both cutting and welding applications. Building off of a strong 2013, we are encouraged by our prospects for the new year especially given that book-to-bill was above one in Q4 2013. As I discussed, we have growing prospects to leverage our market-leading fiber laser technology and new products into additional markets and applications. We will continue to invest in our technology and our infrastructure to capitalize on these opportunities for the long-term. In ’13, I was especially proud of our ability to scale production. For example, we further improved the quality of our pump diodes and have increased a production by 50% per year. The total power level of diodes produced in ’13, exceed 20 megawatts. An increasing number of OEMs are adopting fiber lasers and deploying the technology more widely into their systems, accelerating the displacement of traditional laser and non-laser technologies. As we enter 2014, we will continue to capitalize on this growing demand. With that, I am pleased to turn the call over to Tim.
Tim Mammen: Thank you Valentin and good morning everyone. Fourth quarter revenue grew 14% to $165.9 million from $145.0 million a year ago. Materials processing sales increased 22% year-over-year to $155.4 million, accounting for 94% of total sales during the quarter. Materials processing applications continue to be the dominant use of fiber lasers, primarily in automotive, general manufacturing and heavy industry. And as Valentin discussed, the new products we’re introducing enable us to address opportunities in some of the more advanced applications such as semiconductor processing, hybrid circuit boards, non-metal processing, sintering and cladding. In cutting and welding, in addition to penetrating 3D cutting of tubes and hydro form parts, we continue to sell an increasing number of lasers for traditional flat sheet metal cutting. The trends in that market are to increase speed and cutting of thicker materials which requires more powerful and expensive kilowatt scale lasers. Our overall results were depressed by softer revenues in other applications, which include telecom, advanced and medical, accounting for the remaining 6% of sales. Revenue from these other applications decreased 42% year-over-year to $10.4 million. The decline of about $8 million compared with the year-ago quarter was mostly due to lower sales for advanced applications and partially from continued weakness in telecom. Orders for advanced applications are typically large in dollar value, but are not even from quarter-to-quarter. We are seeing growth in optical pumping, which is our largest advanced application, led by sales to several OEMs. High Power laser sales, which accounted for 53% of total revenue, increased 24% year-over-year to $87.8 million. High power laser sales continue to grow as fiber lasers gain market share across applications and because customers are starting to use more powerful and expensive lasers in different applications. Despite the strong growth in high power laser sales, there continues to be a significant runway ahead for further growth in the core applications of cutting and welding, and future opportunities in deposition and ablation technologies. Pulsed laser sales decreased 11% year-over-year to $27.6 million and accounted for 17% of total revenues. We continue to see competition from Chinese vendors within the marking and engraving market. However, we have launched a redesigned, simpler and less expensive pulsed laser product and we believe this product will enhance our competitive position. Sales of medium power lasers rose 31% to $13.4 million, accounting for 8% of total revenues, which was primarily driven by increased demand for thin metal cutting and micro-welding. QCW laser sales of $5.5 million more than doubled compared with the prior year and accounted for 3% of total revenues. We continue to see growing adoption of our QCW lasers for glass cutting, turbine blade drilling and welding applications. Sales of low power lasers were down 35% year-over-year to $2.9 million, primarily due to lower sales of medical applications. Sales of other products, which include amplifiers, diode lasers, green lasers, mid-IR lasers, integrated laser systems and certain components, were $18.2 million, primarily driven by strong sales of systems in Russia. Service, parts, lease and other revenue, including accessories, totaled $10.5 million. Now looking at our Q4 performance by geography, Asian sales increased to $71.8 million, or by 11% year-over-year. Looking just at China, sales increased 12% to $40.1 million, primarily driven by our growing OEM customer base. They are using high power lasers for cutting and welding within general manufacturing, automotive and consumer electronics. We have also sold several Laser Seam Steppers in China to a major automotive manufacturer. In Japan, we are increasingly penetrating cutting and welding applications, and we believe there is a significant growth opportunity if the trend toward using fiber lasers in general and auto manufacturing is more widely adopted by the major OEMs. In Korea, we have a strong position in battery welding. Asian sales continued to also benefit from strong demand from Turkish OEMs for cutting applications. European sales were up 18% year-over-year to $64.0 million. This was primarily due to strong contributions from Italy and Switzerland. We also shipped several complete systems to a customer in Russia for a diverse set of applications including cutting, welding, and cladding. North American sales at $29.8 million for the quarter were up 18% year-over-year. High power and QCW sales mostly to the auto and aerospace industries drove much of the growth in North America. We also sold a 20 kilowatt laser in North America during Q4 that will be used for oil well drilling R&D. Now, working our way down the income statement, gross margins were 49.2% compared with 51.8% in Q4 2012. Margins for the quarter were slightly below our target range of 50% to 55%, primarily due to a high inventory provision, which totaled $5.9 million, or 3.5% of revenue. The inventory provision was primarily related to a reduction in the value of telecom components due to the slowdown in that business as well as a reduction in the value of inventory related to the acquired systems business. In addition to this, we estimate that product mix primarily due to the increase in sales of laser systems and lower absorption of expenses related to cost of goods sold reduced gross margins by 1.4% and 1.3%, respectively. We continue to invest in advancing our technology, infrastructure and management, which resulted in an increase in General & Administrative expenses to $13.0 million or 7.9% of total sales compared with 6.9% of sales a year ago. Research & Development expenses increased to $10.9 million from $9.3 million. As a percentage of sales, R&D was 6.6%, which is up slightly from 6.4% in the fourth quarter of 2012. Operating expenses for the fourth quarter of 2013 of $32.7 million include a foreign exchange loss of $1.6 million, which was approximately the same as Q4 2012. Fourth quarter operating income was $48.9 million, or 29.5% of sales, compared with $47.3 million, or 32.6% of sales, in the fourth quarter of last year. Excluding foreign exchange, operating margins were 30.4% and 33.7% in 2013 and 2012, respectively. Our tax rate in the fourth quarter was 25.3%. We continue to expect that our tax rate going forward will be approximately 30%. The lower tax rate in Q4 is primarily related to the spread of income between different tax jurisdictions as well as certain one-time benefits related to an increase in our U.S. R&D tax credit that we have claimed following a detailed R&D study. We estimate that the lower effective rate benefited diluted EPS by $0.03 in the quarter. In Q1 we expect the tax rate to be higher because we do not have the benefit related to the study, and the legislation related to R&D tax credits expired at the end of last year and has yet to be re-approved. Net income attributable to IPG for the fourth quarter increased 3.0% to $36.6 million. On a diluted per share basis, we reported $0.70 for the fourth quarter compared with $0.67 a year ago. We estimate that the inventory provision and foreign exchange transaction losses reduced diluted earnings per share, net of tax, by $0.07 and $0.02, respectively, while the lower effective tax rate during quarter benefited earnings per share by $0.03. Now, turning to the balance sheet, we have a strong balance sheet and ended the quarter with cash and cash equivalents of $448.8 million. At December 31, 2013, inventory was $172.7 million. Our current level of inventory on hand amounts to approximately 186 days, compared with our target range of less than 180 days. Accounts receivable were $103.8 million at the end of the fourth quarter, or 57 days’ sales outstanding, compared with $96.6 million at December 31, 2012, or 60 days’ sales outstanding. Cash provided by operations during the quarter was strong at $58.4 million. Capital expenditures for the quarter totaled $22.6 million and were $70.9 million for 2013. Our expected CapEx for the full year 2014 will be approximately $70 million. Backlog, which we report annually, was $265.0 million at December 31st 2013, compared with $203.0 million a year ago, a 31% increase. Our backlog includes $132.6 million of orders with firm shipment dates and $132.4 million of frame agreements that we expect to ship within one year, compared to $102.0 million of orders with firm shipment dates and $101.0 million of frame agreements at December 31, 2012. Book to bill for Q4 2013 as Valentin mentioned was greater than one. And now for our expectations for the upcoming quarter, we anticipate reporting year-over-year growth in Q1 2014. For the first quarter and in the year ahead, we are capitalizing on the increasing demand for fiber lasers over traditional laser technologies and non-laser technologies. Positive market trends, such as the growth in the adoption of fiber lasers for cutting and welding, 3D printing and micro-processing provide us with additional confidence in our growth potential. In 2014 we are focused on increasing revenues, maintaining margins within our target range by closely managing expenses, and obtaining customers for our newly introduced products and the number of applications for which our fiber lasers are qualified. Looking at Q1, we currently expect revenues in the range of $160 million to $175 million. The Company anticipates Q1 earnings per diluted share in the range of $0.69 to $0.83. The mid-point of this guidance represents quarterly revenue and EPS growth of approximately 18% and 13%, respectively, year-over-year. The EPS guidance is based upon 52,487,000 diluted common shares, which includes 51,660,000 basic common shares outstanding and 827,000 potentially dilutive options at December 31, 2013. This guidance is subject to the risks we outline in our reports with the SEC, and assumes that the exchange rates remain at present levels. I want to reiterate that we do not attempt to forecast gains or losses related to exchange rates. And with that we’ll open the call up for your questions.
Question:
and:
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) In the interest of time and so that other participants have the opportunity to ask their questions during the conference as well, we ask that you please limit yourself to one question and one follow-up question during the Q&A. (Operator Instructions) And our first question comes from the line of Patrick Newton with Stifel. Please proceed with your question.
Patrick Newton : Yes. Good morning Valentin and Tim thank you for taking my questions. I guess jumping right in on the inventory reserves you have about 40 million cumulative over the last four quarters and they have been growing in size. I’m trying to get an understanding of are we through these reserves or can you help us understand the level of telecom inventory so that we can quantify the inventory risk on a go forward basis?
 Stifel Nicolaus: Yes. Good morning Valentin and Tim thank you for taking my questions. I guess jumping right in on the inventory reserves you have about 40 million cumulative over the last four quarters and they have been growing in size. I’m trying to get an understanding of are we through these reserves or can you help us understand the level of telecom inventory so that we can quantify the inventory risk on a go forward basis?
Tim Mammen: The inventory risk is substantially reduced it’s, mostly not eliminated I’d like to target reserves of ideally about 1% revenue going forward. In terms of telecom inventory there is very little telecom inventory that’s left at full value on our balance sheet the items that are left once that are continuing to move, everything that has not been moving is being reduced to zero value.
Patrick Newton : That’s very helpful. And I guess if we do remove the inventory reserve in 4Q, I calculated implied gross margin of about 53.2% and if I use this is kind of for what business fundaments are and then I take the midpoint of revenue guidance and earnings guidance, I would assume that you are expecting a sequential decline in your gross margin in the March quarter. So is that a fair assumption and if you could walk us through, why there would be a decline in a growing revenue environment.
 Stifel Nicolaus: That’s very helpful. And I guess if we do remove the inventory reserve in 4Q, I calculated implied gross margin of about 53.2% and if I use this is kind of for what business fundaments are and then I take the midpoint of revenue guidance and earnings guidance, I would assume that you are expecting a sequential decline in your gross margin in the March quarter. So is that a fair assumption and if you could walk us through, why there would be a decline in a growing revenue environment.
Tim Mammen: First of all, I think there we continue to talk gross margins in the range of 50% to 55%. I think in terms of guidance, the midpoint for that range is reasonable. We continue to have fixed cost additions coming on related to the investments. So, not all of our infrastructure has been placed in service and additional expenditures during the year will continue to place that in service, in order to more fully absorb that I’ve stated previously Patrick but I think we need to get revenues up to $185 million and clearly in order to achieve reasonable target growth rates we need to be somewhere above there in Q2 and Q3. So, I’d expect to see a bit of leverage off the gross margin in the middle and the second half of the year. In Q1, the midpoint of the range is sort of relatively flat on revenue sequentially. So, you’re not getting much benefit in relation to that. I think those are the main reasons and the best way to articulate thinking about the gross margin. If you come down to the operating line, I’ll address that right now. I think operating expense is in the range of 31 million to 32 million for Q1 and applying a 70% tax rate gets you approximately to the middle of the EPS range. So, I think the model is pretty much in line with where I had expected to be, given the level of revenue and I think that during the year as we hopefully substantially grow revenues we can see a little bit leverage out of that.
Valentin Gapontsev: And looking forward our investment level we have to take in mind that our business model very short lead time, so only during typical two to four weeks whereas other people lead time much more, many times more. So, with very short lead time you have to cover more of the piece inventory and even some finished goods and also have more in-house in stock these components and parts ready. So, but it provides us a lot of the advantage again through competition.
Operator: Thank you. And our next question comes from the line of Krish Sankar with Bank of America Merrill Lynch. Please proceed with your question.
Krish Sankar : Yes. Hi. Thanks for taking my question. I had a couple of them. Number one, Tim, you guys said that last year was a big investment year for you, if I look at your OpEx for this along G&A should we assume year-over-year to be flat, decline or increase?
 Bank of America Merrill Lynch: Yes. Hi. Thanks for taking my question. I had a couple of them. Number one, Tim, you guys said that last year was a big investment year for you, if I look at your OpEx for this along G&A should we assume year-over-year to be flat, decline or increase?
Tim Mammen: Of course, operating expenses will continue to go up the rates at which they continue to go up we’re targeting this year to be about a half the growth rate. So, we expect to get a little bit of leverage out of that. Now this is a complex and growing business you need to continue to invest in R&D and the G&A and selling side, obviously we’re trying to get into new markets and new applications, it’s extremely important to invest in sales personnel applications personnel. And on G&A, as the business grows, we need to add headcounts around the financial function and IT as well. But the overall growth rate on operating expenses will be much more moderate this year compared to last year, I would say, if you target OpEx growing to between 35 million and 36 million by the end of the year, that’s probably a initially a reasonable number to aim for when you’re modeling things if we achieve, very high growth rates clearly we’ll have to invest more.
Krish Sankar : Got it, got it, that’s helpful. And then the second thing I wanted to find out is, clearly typically you’re seen the seasonality in Q1, which you’ve not seen, is it; a, because your China sales -- you saw seasonality in China in Q4 or is it something else going on?
 Bank of America Merrill Lynch: Got it, got it, that’s helpful. And then the second thing I wanted to find out is, clearly typically you’re seen the seasonality in Q1, which you’ve not seen, is it; a, because your China sales -- you saw seasonality in China in Q4 or is it something else going on?
Tim Mammen: No. I think what we’re seeing is the general tone of the business through Q4 has been really pretty good. So, if you go back to Q4 2012, order flow was really very weak in the comparable quarter a year ago. We ended up booking and shipping a significant amount of revenue in Q4 2012. What you’ve really seen this year is order flow all around the world in Q4 being a bit better. It started off a little bit weaker in the U.S. in October and then picked up nicely towards the end of the quarter, quarter-over-quarter flowing in China. And then the most pleasing thing for me as I’ve seen European sales start to get some traction, not just because we sold only systems in Russia but also in Germany and Switzerland and the forecast or Italy this quarter is also quite good. So the general tone around the business I think coming into the 1st January was better, we are able to build some backlog rather than consumed backlog during the quarter. And guidance reflects that a continued strength on order flow during the beginning of the year. So I’m actually really quite pleased with the general tone of the businesses there is also quite a lot of backlog already in hand for Q2 which is a good thing.
Operator: Thank you. And our next question comes from the line of Joe Maxa, Dougherty & Company. Please proceed with your question.
Joe Maxa : Thank you. Tim the OpEx you talked about targeting the back fourth quarter, what are we thinking top-line I mean are we in a 15% to 20% range, can you help growth 2013 to -- and on that OpEx comment as far as growth and you said you target for half of the growth rate was uncertain was that half of the revenue growth rate or half of last year’s growth rate?
 Dougherty & Company: Thank you. Tim the OpEx you talked about targeting the back fourth quarter, what are we thinking top-line I mean are we in a 15% to 20% range, can you help growth 2013 to -- and on that OpEx comment as far as growth and you said you target for half of the growth rate was uncertain was that half of the revenue growth rate or half of last year’s growth rate?
Tim Mammen: So while you can take if you go from OpEx being 32% to 35% to 36%, you’re getting to like a 10% or slightly less growth in OpEx. I can’t give you a number on full year revenue because that would be giving full annual guidance I think I’ve given enough information on ability to model the results. Overall we continue to expect to see significant penetration of fiber into all the primary materials processing applications. We’re starting to see good traction out of some of the newer materials processing applications in 3D and some of the ablation stripping, cleaning. And then if we can get some of the newest products we’ve started to see some sales on the green and if we can get the ultra-short, ultra-fast lasers in customers’ hands and get them qualified I think there is a little bit of upside to growth in the second half of the year. But I can’t give you and we don’t give an annual guidance I can’t give you an estimated growth rate for the year but I think you’re absolutely right that growth rates the market analysts are saying the growth rates for fiber will be across different applications and they probably are taking into account some of the newer applications we want to get into later in the year. So, the general thought and thinking is that we are feel better about the business coming into the end of the year than we did in January last year.
Joe Maxa : Thank you.
 Dougherty & Company: Thank you.
Operator: Thank you. And our next question comes from the line of Avinash Kant with DA Davidson & Company. Please proceed with your question.
Avinash Kant : Good morning Valentin and Tim.
 DA Davidson & Company: Good morning Valentin and Tim.
Tim Mammen: Hi Avinash.
Avinash Kant : Two or three questions the first one was that 3D printing, could you give us some idea about your sales to 3D printing in 2013 and what kind of growth should we expect in ’14?
 DA Davidson & Company: Two or three questions the first one was that 3D printing, could you give us some idea about your sales to 3D printing in 2013 and what kind of growth should we expect in ’14?
Tim Mammen: So it’s just about all of the major players purchase equipment from IPG there maybe one company in the UK that’s currently not our customers. Sales are still relatively small probably just about over $10 million but grew by about 50% last year. One of the frame agreements we just received is equal in size to almost the entire sales last year so that gives you a bit of a perspective and that frame agreements has been placed by one of the largest customers and suppliers of metal 3D equipment. So that probably gives you a little bit of a frame of references to the opportunities and speed with which that market could grow. I think one of the challenges around that market is whether the incumbent suppliers can even keep up with demand for major manufacturers who talked about using significantly increasing amounts of metal centering equipment in production process and producing 100s of 1,000s of parts. So people are going to have to invest and it provides an opportunity for IPG to capitalize on it.
Avinash Kant : Are you competing with other players on this application or other technologies on this application?
 DA Davidson & Company: Are you competing with other players on this application or other technologies on this application?
Tim Mammen: Are we competing with?
Avinash Kant : Yes. Like there is fiber laser competing with other lasers in the metal centering application for 3D printing?
 DA Davidson & Company: Yes. Like there is fiber laser competing with other lasers in the metal centering application for 3D printing?
Tim Mammen: I believe fiber is the choice on the metal processing on plastics it’s a different question altogether.
Avinash Kant : Alright, okay. And then changing question a little bit here on the automotive side so you talked about strong agreements or wins at the European and Japanese automakers, could you highlight a little bit in terms of what kind of application is that coming for?
 DA Davidson & Company: Alright, okay. And then changing question a little bit here on the automotive side so you talked about strong agreements or wins at the European and Japanese automakers, could you highlight a little bit in terms of what kind of application is that coming for?
Tim Mammen: It’s all about welding.
Avinash Kant : Welding okay.
 DA Davidson & Company: Welding okay.
Tim Mammen: In different sites I know it is remote welding some of it seems tougher so resistant spot welding.
Avinash Kant : Okay, thanks.
 DA Davidson & Company: Okay, thanks.
Operator: Thank you. And our next question comes from the line of Jim Ricchiuti with Needham & Company. Please proceed with your question.
Jim Ricchiuti : Hi. Thank you, good morning. I wonder if you can comment as to book to bill was up in each of the geographic regions including China. Was it up above 1?
 Needham & Company: Hi. Thank you, good morning. I wonder if you can comment as to book to bill was up in each of the geographic regions including China. Was it up above 1?
Tim Mammen: It was, yes, I think it was in every region book to bill was above 1 I surely think there is a reason where it was weaker. No it was pretty strong across the board Jim.
Jim Ricchiuti : Okay. And as you guys lay out all of these other opportunities including incenting and these are rather large markets that you are addressing. Can you talk a little bit about where you are seeing your total available market today versus say a year ago and to what extent you’ll see some incremental revenues from these markets materializing in 2014, it sounds like you will?
 Needham & Company: Okay. And as you guys lay out all of these other opportunities including incenting and these are rather large markets that you are addressing. Can you talk a little bit about where you are seeing your total available market today versus say a year ago and to what extent you’ll see some incremental revenues from these markets materializing in 2014, it sounds like you will?
Valentin Gapontsev: The situation in this market now very good so the existing supplies with existing products could not satisfies the most application due to very bulky, very expensive and not industry practical grade products, so user after they are not happy with existing products and they’re waiting and a new product much more efficient, much more compact and cheaper in price. We introduced now such kind of products which really for most application they appeal dream of major customers. They are talking to us directly, they are calling us asking, only have to provide them this new sample. So it’s the case when and during the last year we developed and qualified many product for their want which they hope and started this year to provide them for test for qualification and in two months, shipment in large quantity. So we would be doing it in a short time. We can get essential share of this market and increase this market in volume essentially. The increased multiple would be a multiple more sales of in the units, of course price should be cheaper in other case but we motivate that selected new product to grow this market.
Jim Ricchiuti : Okay, and if I could ask one final question on the 3D printing area, what class of laser, power class are you in the sweet spot light now, and where do you see that going? Presumably you’re going to be going to higher power lasers as the demands of the industry grow and those should also include higher ASPs, I would assume, correct?
 Needham & Company: Okay, and if I could ask one final question on the 3D printing area, what class of laser, power class are you in the sweet spot light now, and where do you see that going? Presumably you’re going to be going to higher power lasers as the demands of the industry grow and those should also include higher ASPs, I would assume, correct?
Tim Mammen: Correct, so historically if you look at the market, it’s probably been in the 2 to 400 watt range. This last year we have had and shipped orders for lasers as high as 10 kilowatts, and some of the other larger volume users are transitioning from 2 or 400 watts up to at least 1 kilowatts and a bit more so, yes they want to process larger pieces, and they want to improve the processing speeds. It would seem that the transition there is going to be to higher power lasers, Jim.
Operator: Thank you. And our next question comes from the line of Mark Douglass with Longbow Research. Please go ahead with your question.
Mark Douglass : Hi good morning gentlemen.
 Longbow Research: Hi good morning gentlemen.
Tim Mammen: Hi Tim on the currency movements that we have seen the past few quarters, and they don’t guide FX losses, but it is quite reasonable to expect you might have more in upcoming quarters?
Tim Mammen: It depends how -- we don’t use any forward contract to hedge that. So it depends how effectively we are hedged internally. You get some gains related to the appreciation of the RMB and most of the losses are generated in Germany because they have got our dollar assets. Once you have got those are little bit better hedged coming into the beginning of the year, in January you saw the euro depreciate. It has re-appreciated now. We have seen the ruble depreciate, but they have got dollar asset, so as I said market is not really quiet. It’s not as easy just to say that there are going to be bigger losses in Q1 or smaller. There are so many different moving parts on the exchange rates, which is why we don’t give guidance but if the euro appreciates by another 10% or 15%. That would be negative to us. But we are a little bit better hedged on dollar assets in Germany at the moment.
Valentin Gapontsev: But here we feel some more things depend due to them because somehow Tier 1 customers that we have fixed sales in a year. But the RMB this year not, may be would become smarter and also, stronger so we will be down back.
Tim Mammen: Yes it stabilizes.
Mark Douglass : With your mammoth cash balance, a couple of things here; how much is outside the U.S. and what are your plans thinking about a dividend here, share buybacks, and obviously there’s some M&A. But it would be surprising you spent that kind of sum on M&A?
 Longbow Research: With your mammoth cash balance, a couple of things here; how much is outside the U.S. and what are your plans thinking about a dividend here, share buybacks, and obviously there’s some M&A. But it would be surprising you spent that kind of sum on M&A?
Tim Mammen: So first question; about 40% of the cash is overseas, approximately 60% in the U.S. We continue to look at different acquisitions to enhance the active technology within the Company and new markets we can address. Then given the rate of growth certainly expect to generate, I’ve said before that I think we’re a little bit ahead of looking more discreetly at the capital allocation with the company and we certainly haven’t had any detailed discussions about future dividends or buybacks. It’s a little bit too early to really get into that discussion right now.
Operator: Thank you. And our next question comes from the line of Kathryn Thompson with Thompson Research. Please proceed with your question.
Steven Ramsey : Good morning and thanks for taking my call. This is Steven Ramsey, filling in for Kathryn. Could you give more color on the composition of your backlogs and what is driving demand for those backlogs?
 Thompson Research: Good morning and thanks for taking my call. This is Steven Ramsey, filling in for Kathryn. Could you give more color on the composition of your backlogs and what is driving demand for those backlogs?
Tim Mammen: We generally don’t give a lot of detail on this. It’s primarily driven by the materials processing markets and growth in sales across different geographies, so the commentary around, European sales being stronger, would be reflective of European backlog being better than it was a year ago; the systems business growing in Russia, you have got better backlog related to that. So it really reflects the composition of backlog, reflects the growth trends that we discussed, the applications products and geographies. I’d say one of the good things about the composition of backlog is that there is actually a nice amount of backlog that’s already available for Q2, that’s the one that is color that I just gave about it.
Steven Ramsey : Right, great, thank you. And my second question for the full year 2013 and for Q4, how much did units sales grow and are you able to quantify what percentage change you saw in unit pricing?
 Thompson Research: Right, great, thank you. And my second question for the full year 2013 and for Q4, how much did units sales grow and are you able to quantify what percentage change you saw in unit pricing?
Tim Mammen: So Valentin mentioned on the sort of higher power laser kilo class unit sales were up about 50%, on QCW sales units sales were up more than 150%, on pulse lasers even though revenue was down a bit which implies pricing down unit sales were up about 4% and if you factor all of those equations in you’d arrive at a calculation that high power pricing was down about 15% but that’s not quite accurate because you have look at the mix in 2012, there were a lot of very high value single mode lasers that was sold very low volume of those high value single mode leasers. So, the 15% is right at the top end of the range, it’s a little bit lower than that, QCW pricing since the end of 2012 has been more stable you have also seen transition to higher power QCW lasers and pulse laser pricing is down due to macro and the relative change in revenue, relative to the relative change in units and you get a calculation now, I haven’t done that specifically.
Operator: Thank you. And our next question comes from the line of Jiwon Lee with Sidoti. Please proceed with your question.
Jiwon Lee : Thank you. Tim, your growth expectation from China is a little bit different than what other laser vendors are saying and the share gains that you’re referring to is that mainly from the industries general manufacturing or the newer penetration into say automotive play a bigger role this year?
 Sidoti & Company: Thank you. Tim, your growth expectation from China is a little bit different than what other laser vendors are saying and the share gains that you’re referring to is that mainly from the industries general manufacturing or the newer penetration into say automotive play a bigger role this year?
Tim Mammen: It’s across board, I mean we’ve gone from being a Company that was primarily focused on the marketing and graving market three years ago, it’s being one of the leading supplier of fiber laser technology for wall cutting applications both of kilowatt scale and also medium power so cutting of thinner metals, you are seeing growth in the QCW business for micro-welding and the glass cutting applications and you’ve seen some growth in the 3D applications in China. The heavy industry side is probably not a big driver at the moment so things like ship building is not being particularly strong, some growth on the railcar business. I think our execution in China is really a reflection of a couple of things, first of all the desire to adopt fiber technology has been much faster than say for example some of the other areas because they really want to promote high quality advanced technology manufacturing. And then our execution on the ground just in sense of the team we’ve built up on sales and applications and the way we work with the customers, we’re carrying inventory in China, doing a lot of the export clearance there so we have put a lot of investments in so really the commercial side of the business as well as the technological side of the business. And that’s why people are probably struggling. They don’t how to deal with those advances that we’ve made.
Valentin Gapontsev: And only recently we received a message from one of our focused transit customer in China which really kind of large volume volatility now for marketing applications, so with our new price they are putting us to double sales this year.
Jiwon Lee : That’s well said. And can we talk a little bit about your system side, what was the revenue level last year and what type arm expectation especially in conjunction with Russia you’re anticipating this year?
 Sidoti & Company: That’s well said. And can we talk a little bit about your system side, what was the revenue level last year and what type arm expectation especially in conjunction with Russia you’re anticipating this year?
Tim Mammen: So, if you include the macro, micro systems in the Seam Stepper, revenue on the system side was up more than 100% for the year, Bartens got some very aggressive target growth rates for the systems business. So, the minimum we’d want to grow by more than 100% again this year and potentially more than that.
Operator: Thank you. And our next question comes from the line of Mark Miller with Noble Financial. Please proceed with your question.
Mark Miller : Good morning. I was just wondering, you noted that there was some pricing pressure in pulse and QCW was stabilizing, were there any other notable pricing pressures in any of the other markets?
 Noble Financial Capital Markets: Good morning. I was just wondering, you noted that there was some pricing pressure in pulse and QCW was stabilizing, were there any other notable pricing pressures in any of the other markets?
Valentin Gapontsev: We don’t see the for high power really don’t see sales pricing pressure our competition is still far behind us I think price and so that is our guidance is clear that a drop in average price for high power laser quarter-by-quarter more and more OEM customer purchase in much larger volumes so of course the larger volume they call the better price and we have all opportunity to meet the exception to help them to dwell much well business.
Mark Miller : And the $7.8 million rush order was that for telecom what was that for in particular?
 Noble Financial Capital Markets: And the $7.8 million rush order was that for telecom what was that for in particular?
Valentin Gapontsev: No. no, it’s not telecom, it is system business for this customer it is 18 different business for different applications we dwell qualify and shape them including not even had way including a process at all, technology process at all and also process. So here we’re very serious contract and the our ability to what really have relative order during three weeks only we have shipped in the strongest and opened new facility all this during only three weeks. It was great drop at all. So impressed our obsolete it’s a volatile and it is new customers go and ask him also this so this year we were cloud based process supply for us this year it is enormous number we are afraid to even mention this number. It’s problem not currently not t cover order problem how to foresee with on.
Mark Miller : Thank you.
 Noble Financial Capital Markets: Thank you.
Operator: Thank you. And it seems we have no further questions at this time. I’d like to turn the floor back over for closing comments.
Valentin Gapontsev: Thank you very much for joining us. We look forward to speaking with you next quarter.
Operator: And this concludes our conference call. Thank you for joining us today.